Operator: Good morning, everyone, and welcome to VCI Global First Half 2024 Earnings Conference Call. Joining me today to discuss our results are Victor Hoo, our Group Executive Chairman and CEO; Marco Baccanello, Executive Director; and Zhi Feng Ang, our CFO. Before we begin, I would like to take this opportunity to remind you that our remarks today may contain forward-looking statements which are subject to future events and uncertainties, statements that are not historical facts including but not limited to statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties and our actual results may differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. This presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. Without further ado, I will now turn the call over to our Group Executive Chairman and CEO, Victor Hoo. Victor, the call is yours.
Victor Hoo: Thank you, and, good morning, everyone. I appreciate you joining us today to review our financial results for the first half of 2024. It's been a remarkable start to the year with strong momentum and a robust business performance. I'm particularly pleased with the progress we have made. Despite a challenging macroeconomic environment, we delivered solid results in the first half of the year. The growth reflects the hard work and exceptional performance across all our Business segments. It underscores VCIG's continued excellence as a leading firm in Business Strategy Consulting and Technology Business. In our Business Strategy Consulting segment, our ability to consistently deliver outstanding results highlights our deep market understanding and commitment to guiding companies through the complexities of going public. This success is a testament to our strategic vision and dedication to excellence, further establishing VCIG as a key player in the industry. Turning to our Technology Development Solutions and Consultancy segment. I'm proud to share that we have made significant strides in AI innovation. We secured an exclusive distributorship from Wootzano for its AI-powered post-harvest robotic packing system in Malaysia, marking a pivotal moment for us. Additionally, we strengthened our capabilities by acquiring an AI-based secure messaging platform from Cogia GmbH. These strategic acquisitions and partnerships align with our commitment to innovation and reaching our technological offerings. Building on our robust performance and expanded capability, VCIG is poised for exciting growth opportunities. In line with this growth, we have achieved a significant milestone by completing our secondary listing on the Frankfurt Stock Exchange. This strategic move highlights and enhances our global footprint and broadens our shareholder base to include European investors. We expect continued growth and success, leveraging our market position, diverse services and talented team to seize emerging opportunities. Additionally, our Board of Directors has authorized the implementation of a share buyback program of up to $10 million of our outstanding common stock over the next two years. This strategic decision highlights VCIG's impressive growth trajectory and reflects our strong confidence in our future potential. It also reaffirms our commitment to delivering sustained value to our shareholders. Now I'll turn the call over to Mr. Ang to provide further details on our financial performance.
Ang Zhi Feng: Thank you, Victor, for the introduction. This is Ang, the CFO of VCIG. Thank you for joining us today for VCIG's first half 2024 earnings call. I'm honored to provide you with an overview of our financial performance. We have achieved an impressive 44% increase in revenue, totaling $13.7 million and a 25% increase in net income, reaching $5.4 million compared to the same period last fiscal year. This remarkable growth highlights the success of our Business Strategy and the dedication and hard work of our team. Let's delve deeper into our revenue. The substantial increase in revenue was driven primarily by the exceptional performance of our Business Strategy Consultancy segment. Revenue from this segment surged by 151% from $4.5 million in the first half of 2023 to $11.2 million in the first half of 2024. As of June 30th, 2024, we are advising nearly 15 clients who are in the process of going public on NASDAQ. Additionally, our Fintech segment saw impressive growth with revenue increasing by 183% to $0.7 million compared to $0.2 million during the same period last fiscal year. Alongside our impressive top line growth, we also achieved significant improvement in profitability. Through disciplined cost management, we experienced a substantial 26% increase in EBITDA, reaching $5.7 million. Overall, we are pleased with our revenue growth and profitability. I will now hand it over to Marco Baccanello, our Executive Director, to wrap up today's call.
Marco Baccanello: Thank you, Ang and Victor. Good morning. I am Marco Baccanello, Executive Director at VCIG and it's truly exciting to be part of this outstanding team. I'm eager to contribute towards our continued success and growth together. In closing, I want to extend my sincere gratitude to our investors, employees and stakeholders for their unwavering support. Our first half 2024 results reflect VCIG's commitment to delivering success. We remain focused on driving sustainable growth and enhancing long-term shareholder value. Thank you.
Operator: That will conclude our call for today. On behalf of the company and its representatives, we want to say thank you for joining us. Goodbye.
End of Q&A: